Operator: Please standby. Good morning, ladies and gentlemen. And welcome to Movado Group Incorporated First Quarter Fiscal Year 2015 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, ladies and gentlemen, this conference is being recorded and may not be reproduced in whole or in part without permission from the company. I would now like to introduce Ms. Allison Malkin of ICR. Please go ahead.
Allison Malkin: Thank you. Good morning, everyone. With me on the call is Efraim Grinberg, Chairman and Chief Executive Officer; Rick Coté, President and Chief Operating Officer; and Sallie DeMarsilis, Chief Financial Officer. Before we get started, I would like to remind you of the company's Safe Harbor language, which I'm sure you're all familiar with. The statements contained in this conference call, which are not historical facts, may be deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual future results may differ materially from those suggested in such statements due to a number of risks and uncertainties, all of which are described in the company's filings with the SEC, which includes today's press release. If any non-GAAP financial measure is used on this call, a presentation of the most directly comparable GAAP financial measure to this non-GAAP financial measure will be provided as supplemental financial information in our press release. Now, I would like to turn the call over to Rick Coté, President and Chief Operating Officer of Movado Group.
Rick Coté: Thanks, Allison. Good morning. And welcome to our conference call. We had a solid start to the year with our first quarter results, positioning us well to achieve our previously issued full year guidance. Having just return from the Basel Watch Fair in Switzerland, we saw first hand the tremendous enthusiasm of the global retail community to our product offerings across our entire portfolio. This reinforces that the brand strategies we are implementing are continuing to provide us with the solid platform or sustain growth. We are excited about our full year sales plan, which is driven by strong double-digit sales growth in our Movado and licensed brands. In the first quarter, total sales increased 10% fueled by continuing -- continued strong growth in our licensed division, retail outlet stores and Movado brand. Despite the severe weather in United States that impacted the first quarter retail marketplace, we continue to see broad-based strength across our business with strong consumer demand and customer sell-through above the overall watch category performance. Operating income was $10.9 million, an increase of 9.2% from the $10 million reported in the prior period. This improved level of operating income was driven by the sales growth, partially offset by the planned reduction in gross margin percent and an increase in operating expenses including planned organizational investments in geographical infrastructure to support our continued growth. Earnings per share came in at $0.29 on a higher tax rate as compared to adjusted earnings per share of $0.28 in the prior period. Our balance sheet remains strong with net cash and investment position of $172 million and our equity level growing to over $470 million. We are pleased to announce that our Board of Directors has approved our quarterly dividend of $0.10 per share as per this morning's press release. Now let me briefly discuss some global trends and provide some specific brand highlights for the quarter. From a global perspective, the Watch category continues to perform solidly and we continue to experience above average sell-through performance across our retail partner's. Based on our plans and the great reception to our product offering at Baselworld, we believe we are well-positioned to achieve our sales growth expectations of 10.7% in fiscal year ’15. From an economic perspective, we continue to anticipate moderate growth in North America, modest growth in Northern Europe, continued stabilization in Southern Europe and South America, and conservative growth in Asia. In May, we announced the promotion of Julian Addison as President of Movado Group Asia-Pacific to further accelerate our growth within the Asia-Pacific region. Julian will be responsible for leading the Movado Group Asia Pacific teams, developing corporate strategies for the region and strengthening the alignment and coordination of our multiple brands and operations within the region. From a brand perspective, the execution of our Movado brands strategy continues to produce particularly strong results. The initiative we announced in the fourth quarter to convert a substantial portion of the ESQ linear space at certain retail locations to Movado product is in the implementation phase. We expect to see the resulting increase in Movado sales in the second and third quarters. This will provide Movado product families greater merchandising opportunities, as well as expansion of Movado Bold in certain existing and new doors. Again, we view this initiative as a future growth opportunity for the company and anticipate it will provide an excellent return on investment. Our Movado brand in United States continues to hold the leading market share position in our key price points of $500 to $1,500, and a strong market position in the $1,500 to $3,000 price segment. Additionally, Movado continues to outpace the category and increase its market share in total in the $300 to $3,000 price segment and in virtually every category within this segment. All distribution channels continued to perform well with the above average gains in the U.S. department and chain stores in our broad and specialty channel distribution. Product segmentation and our strategy to offer compelling product at key price points continues to help drive our growth. New introductions this spring focusing on the women's category included Rondiro, a new bangle collection and a diamond expansion of our Concerto family. In the men’s category we introduced the redesigned sapphire collection, which is one of our most productive collections and variations of our Sports Museum and Thin Classic families. Ebel and Concord represent 4% of our total sales. In Ebel, we continue to focus on our key markets with our new and distinctive Onde and X-1 collections, along with Ebel’s core collection comprising the Wave, Beluga and Brasilia models. In Concord, we continue to focus on the Middle East market with the reintroduction of Saratoga and Mariner. Our objectives for Ebel and Concord remain consistent, key market focus, realize value and improve profitability. Our licensed brand division continues to perform extremely well. In the first quarter, the licensed brand global team grew sales an impressive 19%, after having grown full year sales last year’s 19%. This quarter sales growth was driven by strong performance on Coach watches and a continued expansion of Scuderia Ferrari watches. Growth in our licensed brand division is being led by innovative product designs at key price points that are resonating well with consumers. Some of the leading product performers for licensed brands during the first quarter were the Coach bracelets in both steel and gold finishes, the Tommy Hilfiger Harrison and ladies gold plated metals on strap and bracelet, the HUGO BOSS Aviator and Orange collection, the Juicy Pedigree and Stella lines, the Lacoste Borneo and Valencia collections and the Scuderia Ferrari Race Day, Chronographs and oversized product offerings. Our outlet retail division remains an important contributor to our business from both the sales and profitability perspective. The greater emphasis we have placed on branding and customer service at our existing stores has helped fuel sales conversion and profitability. Our sales for the quarter were up a solid 12%, driven by excellent product offering at higher margins and increased sales conversion, despite outlet center traffic being down our store traffic increased single digits. We remained excited that the initiatives we have been diligently working on have succeeded in creating momentum in our business. We believe our combination of powerful brands, superior infrastructure and our talented global management team position us to continue the path of above average sales and profit growth. Now I’d like to turn the call over to Sallie to discuss our financial results and reiterate our full year guidance.
Sallie DeMarsilis: Thank you, Rick, and good morning, everyone. I'm very pleased to be with you today, presenting our financial results for the first quarter. I will begin my remarks with a review of our operating results, followed by the balance sheet and close with guidance. Note that as of the first quarter of fiscal 2015, we are now dividing our watch business into two principal category, luxury and licensed brand. The luxury category consists of Ebel, Concord, Movado and ESQ. The licensed brand category consists of watches distributed under license agreement and includes Coach, HUGO BOSS, Juicy Couture, Lacoste, Tommy Hilfiger and Scuderia Ferrar. To begin, sales for the first quarter were $120.9 million, up from the same period of the prior year by $10.9 million or 9.9%. Our sales growth was primarily driven by licensed brand and our retail business. For the first quarter, sales in our wholesale segment were $109.7 or 9.7% above sales of $100 million for the same period of last year. The increase in sales was driven by growth in the licensed brand category. By geography, our U.S. wholesale business increased 5.4% to $51 million, compared to $48.4 million last year. Our international wholesale business increased 13.8% to $58.6 million, compared to $51.5 million in the prior year. Sales growth was led by increases in Europe and South America. Sales from the company’s retail business were up $1.2 million, or 12% over last year primarily due to strong sell through as well as an increase in the number of stores since the first quarter of last year. At the end of the quarter, the company operated 35 outlet stores. Gross profit was $65.2 million, or 53.9% of sales, compared to $59.9 million, or 54.5% in the first quarter of last year. The planned decline in gross margin was driven by unfavorable changes in foreign currency exchange rates and channel and product mix partially offset by favorable impact of leverage gained on fixed costs. Operating expenses were $54.2 million above the prior year by 8.6%. This increase was primarily the result of the following, a $2.4 million increase in compensation and benefits and $1.9 million increase in marketing expenses, the translational impact of foreign currency exchange rates and other operating expenses. Operating income increased 9.2% as planned to $10.9 million or 9% of sales compared to $10 million or 9.1% of sales in the year ago period. I’d like to remind you that during the first quarter of fiscal 2014, we reported a $1.5 million of pretax gain from the sale of the building in Switzerland. This non-recurring item was recorded in other income. And I will exclude this gain when discussing our income taxes in our net income for the year. Income tax expense was $3.4 million or 31.6% effective tax rate in the first quarter of fiscal 2015 compared to adjusted income tax expense of $2.9 million or 28.9% effective tax rate recorded in the first quarter of the prior year. Net income in the first quarter was $7.4 million or $0.29 per diluted share versus the adjusted net income of $7.1 million or $0.28 per diluted share in the year ago period. Now turning to our balance sheet. Our cash and short-term investments combined at the end of the first quarter of fiscal 2015 was $171.9 million versus $141.5 million in the same period of fiscal 2014. Accounts receivable was up $10.7 million due to the increase in net sales. Inventory was up $9.3 million or 5% as compared to last year. Capital expenditures for the quarter were $1.5 and depreciation and amortization expense was $3 million combined. We continue to project capital expenditures of approximately $17 million for fiscal 2015, which includes project and the ordinary parts of business such as facilities improvement, shop-n-shop and computer hardware and software. Now I would like to discuss our reiterated guidance for the current fiscal year. We continue to assume moderate global economic growth. And we're assuming no significant fluctuations in foreign currency exchange rate. For fiscal 2015, we anticipate our sales will increase close to 11% to $640 million. As a reminder as mentioned on our year end earning call, certain of the ESQ retail space will be reallocated to drive incremental sales of the more productive Movado brand Watch family. As a result, we expect to see a corresponding increase in Movado sales in the second and third quarters. Gross margin rate is expected to remain flat in the last year due to the mix of business which will now include a full year of Ferrari branded watches and the repositioned Coach brand. Also as mentioned at year end, we expect to see leverage on operating expenses for the full year, even as we continue to invest in our geographical infrastructure allowing us to continue driving growth. Operating income is projected to increase close to 19% to $90 million. Our estimated effective tax rate for the current fiscal year is expected to be 28% and net income is planned to increase to approximately $63.5 million. We expect diluted earnings per share in fiscal 2015 will increase to approximately $2.44. This guidance we have provided assumes no unusual items for fiscal 2015. Now I would like to turn the call over to Efraim.
Efraim Grinberg: Thanks Sallie. We began the year with solid first quarter results, highlighted by nearly 10% increase in sales and 9.2% increase in operating income in our smallest quarter of the year. Our Movado and licensed brands continue to lead the way with growth across geographies as we continue to grow sales with our ability to segment our product assortments and drive innovation across our brands. We remain excited about the year ahead and believe the continued momentum of our brands and growth strategies position us for a strong fiscal 2015. We recently returned from the Basel Watch Fair and we are encouraged by the very enthusiastic customer response we received to our new product offerings. We are benefiting from the expansion opportunities that are afforded to us from the momentum behind our Coach Watch brand and our newest brands Scuderia Ferrari, which celebrated its one-year anniversary in April. The ESQ reallocation strategy that we announced in March is underway with the transition of space to Movado style in the second and third quarter. We expect this reallocated space to drive incremental sales of our more productive Movado families, including Movado BOLD and our classic Museum families. Our balance sheet remains strong which allows us to invest in support of our long-term growth while returning value to our shareholders. We remain confident in our strategies and continue to expect fiscal 2015 to represent a year of significant accomplishments towards our long-term goals. Given all this, we are reiterating our annual guidance and we believe we remain on track to achieve a multi-year strategic plan. We’d now like to open the call up to questions.
Operator: Thank you. (Operator Instructions) And we will take our first question from Edward Yruma from KeyBanc.
Edward Yruma - KeyBanc: Hi. Good morning and thanks for taking my questions. I guess, first, on the ESQ and the Movado transition, any kind of color you are getting from retailers in terms of sell-through on the final bit of ESQ product and how are orders shaping up for the Movado product that’s going to replace the ESQ product?
Efraim Grinberg: So the transition is going very well. Our retailers were excited. The ones that we are working on this initiative, which are our institutional accounts are excited about the opportunities for increased productivity within their Movado assortment and being able to show more Bold in more of the classic museum assortment. And ESQ is still, we stop remaining distribution for ESQ and we would expect that to continue.
Rick Coté: So overall, we are very pleased with our plans, well accepted by retailers and obviously we are in a physical implementation stage of filling in new Movado product into some of that retail ESQ retail space. So we are pleased with it, our plans are on target and we expect to deliver our anticipated plans.
Edward Yruma - KeyBanc: Great. And a follow-up. Is that Movado product being priced somewhat similar to the ESQ product that it will replace and I guess, could there be a positive mix shift as the customer shifts from a less expensive ESQ product to more expensive Movado product? Thank you.
Efraim Grinberg: Well, first of all, it’s going to be our existing families of Movado. So we are not launching any new families to specifically fill in. This is an expansion of the linear space that we have for our existing product. We will take the opportunity of expanding some of our Bold doors, the space in existing doors as well as adding some new doors. So, yes, theoretically, it is an opportunity of shifting from an ESQ price to a Movado price.
Edward Yruma - KeyBanc: Great. Thanks so much.
Operator: And we will take our next question from Rick Patel with Stephens Incorporated.
Rick Patel - Stephens Incorporated: Good morning, everyone and congrats on a strong topline momentum. Can you talk about how much of a negative impact the ESQ transition had to sales and the gross margins in the first quarter, then as we think about the second and third quarters, is it safe to assume that you are going to get all of this back or is there risk that you lost some shelf space during that transition?
Efraim Grinberg: I think the first aspect of that is sales obviously were negatively impacted in the first quarter. Our sales would have been slightly above 11%, if we just took out ESQ for both periods of time. Obviously, we did have ongoing sales of ESQ. We would expect that but obviously at a much lower level than we’ve had in prior years. And the second piece is from the standpoint of gross margin, really as we said in our guidance, as Sallie outlined in our guidance, we would expect our gross margin to be flat this year to what it was last year. So obviously for the second, third and fourth quarter, we would expect that the mix of business because of, with Coach and the Ferrari as well as some changes with ESQ Movado, we would expect to be flat to a year ago. So that’s really the change and again, we would expect that with Movado sales going in at, our sales will be on plan and strong in the second and third quarter because of the increased level of Movado sales.
Rick Patel - Stephens Incorporated: Great. And then can you give us some color on international performance. Some companies we cover have seen some choppiness in European markets and I’m curios if you are seeing the same thing and what your level of confidence is and being able to drive sales higher abroad this year?
Efraim Grinberg: Yeah. We’ve had strong performance as we have over the last number of years. So our performance has been strong, particularly in Northern Europe. We see that market being much more stable, so we are pleased with our growth there, very much driven by our licensed brands. From a standpoint of Southern Europe, as we said in our comments, we are kind of looking at that for stabilizing, that still is a top part of the economy in overall Europe but for us it is doing okay. Asia, we have nice level of growth and we continue with strong growth in Latin and South America. So we are pleased with our global performance where it’s driven by the mix of our product portfolio and obviously licensing part of our business is the most global of our product offerings that we have. So we are pleased with the overall mix but we still remain concerned with the overall economies. No ones coming out gain busters. We expect that it is going to be modest to moderate growth in most of the places around the world. But our product portfolio continues to outperform.
Rick Patel - Stephens Incorporated: Thank you.
Operator: And next, we will hear from Oliver Chen with Citi Research.
Oliver Chen - Citi Research: Hi. Thank you. Regarding your positions on your inventories right now, how are you feeling about the freshness and the freshness relative to your sales trends you just experienced in the forward guidance? Also on the quarterly basis, if you could give us any kind of insight into the best way to think about revenue growth rates that we put in our models. It’s kind of volatile as we are anniversarying last year, so if there is any help you could give us there that would be great. Thanks.
Efraim Grinberg: I’ll take the first part. I think we’re very pleased with our assortments that are in the stores for each of our brands. And our inventories are in very healthy place, but also the assortment is very fresh and we continue to introduce innovation and newness, not only in the first quarter but on a more accelerated basis throughout the balance of the year, which we believe will help us achieve our revenue targets. Rick, do you want to take second part.
Rick Coté: From a standpoint of the quarterly, as you know we do not give quarterly guidance. I’ll just reiterate some of the things that we have announced previously in the past. Obviously, the Coach repositioning started really in the end of the second quarter, so we will start anniversarying that a bit in the second quarter but really third and fourth. The Ferrari launch took place in April, so we are really anniversarying that starting in the second quarter. As you know, as we announced at the end of this year at our previous conference call, we are looking at expanding about a 1000 doors in Ferrari, taking it from about 2300 to 3300. And as we said, the SKU, obviously sales will diminish as a result of the reposition strategy, because again we’re keeping it live in quite a few number of doors, but that will be as much smaller part of the business. And the Movado pick up because of the shelf expansion will take place primarily in the second and third quarter. So, that’s about the best we can give you. Again, we don’t give quarterly guidance.
Oliver Chen - Citi Research: Thank you. And just for context, the quarter, so the quarter proceed kind of in line with your expectations in terms of the net sales line, given that you’ve reiterated your full year view?
Rick Coté: I think Sallie said it quite clearly in her comments, we’re very pleased and we achieved both from a topline and a bottomline and the various components quite pretty much what we expected. So our actual results were very much with our internal plans. And again, we do not give quarterly guidance, but they were in -- as Sallie said in line with our plans.
Oliver Chen - Citi Research: Thank you. Best regards.
Efraim Grinberg: Thank you, Oliver.
Operator: And next, we will hear from Jeremy Hamblin with Dougherty & Co.
Jeremy Hamblin - Dougherty & Co.: Good morning. I wanted to see if I could follow up on -- you mentioned Coach and momentum and anniversarying kind of at the beginning of the third quarter, I guess, the repositioning there. But you had seen really strong momentum in that business in the second half of last year. I think you’d call out that sales were up between 20% and 30% in each of the quarters, Q3 and Q4 last year. Are you continuing to see that kind of momentum, or is it leveling off with that particular piece of the business?
Efraim Grinberg: We are continuing to see very strong sell-through in Coach and we are very pleased with the repositioning. We are now as we compare this the quarter that we’re in and most of the second quarter, we are also comparing against the Coach before it was repositioned. So we are very, very pleased with the momentum behind that brand and think it represents great opportunities for the company.
Jeremy Hamblin - Dougherty & Co.: Okay. And then I was just hoping that you can use some terminology around expected growth. And I think you said moderate in North America, modest in Europe, conservative growth in Asia. I was hoping that you maybe could put where you’re expecting your best growth, I am assuming North America?
Efraim Grinberg: So that is not our growth. When both Sallie and Rick were heard about, they were talking about economic growth. So we -- that’s the background in which we’re operating. And that’s how we see the economies around the world. So it doesn’t pertain specifically to our growth, because you may grow -- we may grow in a market where we’re new significantly, even though the economies aren’t growing very well.
Jeremy Hamblin - Dougherty & Co.: Are you expecting better growth, I guess, in US wholesale or international wholesale this year?
Efraim Grinberg: Again, I think we have a pretty good global portfolio, so the sales growth and I highlight it before, we would expect similar type growth. So when we look at our overall 11% for the full year, the US maybe the largest from a dollar standpoint, but obviously we expect good growth there. Northern Europe, we are -- certainly in all Europe, we are expecting growth but particularly Northern Europe. South and Latin America continues to outperform. So I think all of our geographical markets were performing well, and we would expect them to share in that strong level of growth that we have, again not everyone at the same level. But we are quite pleased with all the geographical markets and the level of growth prospects, performance that we had as well as the prospects going forward.
Jeremy Hamblin - Dougherty & Co.: Right. I will jump back in the queue. Thanks.
Efraim Grinberg: Thanks.
Operator: (Operator Instructions) Our next question comes from Mike Richardson with Sidoti.
Mike Richardson - Sidoti: Yes, good morning. And thank you for taking my question. I am wondering, we heard about weak traffic in US department stores and what not. I am wondering if you can give us a sense of how you think inventory is at the department stores. And then just very general takeaways from the Basel Watch Fair regarding trends or one that maybe you can share with us would be appreciated? Thanks.
Efraim Grinberg: First, I will take the inventory levels. We are very pleased with our inventory levels, that’s one other things. We spent a lot of time managing inventory both our product inventory as well as the inventory of retail. So we are very pleased with our inventory position at retail particularly. We believe we are at the right levels. We believe we’ve got great product offering in there. All the models that we want to have in there and from our own inventory standpoint, again we are very pleased with what we have. We do a very good job of our life cycle management and all those types of things. So we are quite pleased with inventory positions. I’ll have Efraim give an update on some Basels.
Rick Coté: We are wary and I think it was in both, my comments and Rick’s comments. We were very pleased with our Baselworld, the reception to our product that we introduced at Baselworld for each of our brands. We brought all of our brands together in a separate -- in a venue at the Basel Fair and so that was actually spectacular this year. And we look forward to introducing those products throughout the third and fourth quarter in the U.S. But our trends remain excellent in the reception to our product from our customers was very strong.
Mike Richardson - Sidoti: And just I guess one follow-up. How many doors is Ferrari in right now, can you remind us? Thanks.
Rick Coté: Ferrari was -- I’m not going to have the number right now but it was 23 at the end of the year. And we’re going to open about 1,000 this year. So I would suspect the first quarter was maybe 150 to 200 doors. So we’re probably in that 2,500 to 2,600 range, going to the end of the year to around 3,300.
Mike Richardson - Sidoti: Great. Thank you.
Rick Coté: Yeah.
Operator: (Operator Instructions) And there are no further questions at this time. I will turn the conference back over to management for any additional or closing remark. And we have one more question, Jeremy Hamblin with Dougherty & Company
Jeremy Hamblin - Dougherty & Company: Hi, thanks for taking one more question from me. I wanted to come back to your -- the commentary around planned organizational investments. I think you’ve mentioned in the script planned organizational investments in your geographical infrastructure. And in terms of thinking about that throughout the rest of the year, are these ongoing investments that we should be anticipating going forward in your SG&A cost or are these more one time in nature. Can you give us a sense for the magnitude in the first part of the year versus the year as a whole?
Rick Coté: And obviously with our infrastructure we continue to invest not only in our marketing throughout the world but in our people and our resource infrastructure. Obviously, we did better than last year because with the Coach repositioning, obviously, we added number of resources to help support that level of growth. With the launch of Ferrari, getting that up and running, obviously we added resources in there. Obviously, a pretty senior level announcement that we called out in our press release about a month ago with adding a President to our Asia Pacific region. We did add new leadership and increased infrastructure for our Latin and South America business. So we continue to invest in that and really the reason for that callout is yes, our expenses were up, I guess a little lower 8% in the second -- in the first quarter. For the full year, I think we’re looking at probably in that 6% to 7% range. So obviously in the first quarter, we were anniversarying a lot of the spend that took place in the second and third and fourth quarter. But we would expect to kind of continue that. So this year, we will have a heightened level of operating expenses than we have had in the past, consistent in growth and marketing but I think some people infrastructure. So, I think we just wanted to call that out so people get that because we’ve had very strong leverage. As you know, we brought our operating expenses to around 40% of overall sales for the full calendar year, last year or fiscal year last year and that very strong level of leveraging of expenses is going to continue but not certainly at that level. So, we just wanted to call-out that we are making some ongoing investments. I mean, we’ll continue to do that as we help build our international infrastructure as well as supporting the growth that we have in pretty much across our portfolio, across all of our geographical territories.
Jeremy Hamblin - Dougherty & Company: Great. And then just follow-up on that. I think, in terms of breaking down, Sallie, the operational expense increases. You lumped in marketing costs along with foreign currency impact. Can you give me a sense for that $1.9 million that you called out for marketing costs in FX? Can you give me a sense for how much of it was FX versus marketing?
Sallie DeMarsilis: Yeah. The impact of all those were about the same and actually our, 10-Q will be filed later today and there will be more detail provided in that.
Jeremy Hamblin - Dougherty & Company: Okay. And I’m assuming that also you said, had some drag as well on gross margins?
Sallie DeMarsilis: Currency, yes, is that what you mean?
Jeremy Hamblin - Dougherty & Company: Yes, currency.
Sallie DeMarsilis: As you know, currency sprinkles throughout our P&L. It impacts sales, margin, operating expenses and so forth. So, yes, there was an impact year-on-year comparisons in gross margin as well.
Rick Coté: Right. From an operating profit perspective, it generally is neutral. So it falls across various line items in the P&L but from an operating profit perspective, it’s pretty much a wash.
Jeremy Hamblin - Dougherty & Company: Okay. Thank you so much.
Sallie DeMarsilis: Thanks, Jeremy.
Efraim Grinberg: Well, thank you. Is there any more questions?
Operator: There are no further questions at this time.
Efraim Grinberg: Okay. Thank you. If there are no more questions, I’d like to thank all of you for participating today and we look forward to talking with you again for our second quarter conference call. Thank you.
Operator: That does conclude today’s conference. Thank you for your participation.